Operator: Greetings and welcome to the American Vanguard Corporation First Quarter 2018 Conference Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Bill Kuser, Director of Investor Relations. Thank you. Mr. Kuser, you may begin.
Bill Kuser: Well, thank you very much, Doug, and welcome everyone to American Vanguard's first quarter 2018 earnings review. Our speakers today will be Mr. Eric Wintemute, the Chairman and CEO of American Vanguard; Mr. David Johnson, the company's Chief Financial Officer; and also assisting with our questions, our Chief Operating Officer Mr. Bob Trogele. This afternoon, I should say, American Vanguard has filed its Form 10-Q with the SEC, providing additional details of to the results that we will be discussed in this call. Before beginning, let's take a moment for our usual cautionary reminder. In today's call, the company may discuss forward-looking information. Such information and statements are based on estimates and assumptions by the company's management and are subject to various risks and uncertainties that may cause actual results to differ from management's current expectations. Such factors can include weather conditions, changes in regulatory policy, competitive pressures and various other risks that are detailed in the company's SEC reports and filings. All forward-looking statements represent the company's best judgment as to the date of this call and such information will not necessarily be updated by the company. With that said, we turn the call over to Eric Wintemute.
Eric Wintemute: Thank you, Bill. Hello, everyone and welcome to our first quarter earnings call. As always thank you for your continued interest in American Vanguard. We’re off to a strong start in 2018. As you’ve read in our earnings release, first quarter sales were up $34 million or 47% over the first quarter of 2017 and net income was up 35% compared to the same period. $29 million of the increase in net sales arouse from four significant acquisitions that we competed largely in the second half of 2017. These include AgriCenter, OHP, three domestic products Parazone, Equus and Abba that came to us via of FTC mandated divestment and to a larger extend lighter [ph] products in Mexico that came to us through a government ordered divestment. Given the significance of our newly acquired businesses to our quarterly financial performance, I believe it's important to make three points. First, we had forecasted these acquisitions we generate annual sales in excess of $100 million. During the last seven months of 2017, when we were still completing the acquisitions, these assets generated $30 million in sales. Now in our first quarter, we’ve nearly matched that amount. We are well on our way towards meeting or exceeding the annual target. [Indiscernible] to add that as we continue to integrate and grow businesses, we expect to obtain greater efficiencies and improved sales over the course of time. Second, we are able to purchase these assets at a reasonable cost and without diminishing our ability to make further acquisitions. In fact, despite completing these four deals, our borrowing capacity has actually improved year-over-year. We are at $125 million at the end of Q1, 2018 versus $119 million at the end of Q1, 2017. And the aftermath of industry consolidation, we continue to see post merger divestments. In short, we are in a better position to presume new opportunities today than we were before we made the acquisitions in 2017. Third, I wanted to take some time to give you additional color on these new businesses. Often times we move so quickly from one initiative to the next that we fail to give some matters the attention they deserve. I want to start with AgriCenter, headquartered in Costa Rica, AgriCenter is a regional distribution company that serves Central America, selling not only into Costa Erica, but also Honduras, Nicaragua, Panama and the Caribbean. Over the course of the past 15 years, it has grown to become one of the largest distributors in the region. AgriCenter markets over a 100 products under its own brands into pineapples, citrus, rice, and bananas to customers like Dole, TicoFrut and [indiscernible]. As a side note, the AgriCenter and our bromacil product line which we acquired in 2014, we are becoming a major player in the pineapple market. So please eat more pineapples. In addition, AgriCenter offers a complete line of micro nutrient formulations under the name green plants. As a mark of distinction among distributors, AgriCenter operates its own research center known as Life which tailors solutions from -- for growers thereby bringing technology into the field and at the same time fostering long-term relationships throughout the region. With a 115 persons in six countries, we’ve the necessary feet on the ground to ensure that our customer service will be second to none. We intend not only to expand our presence in LATAM, including El Salvador, Guatemala and Ecuador, but also to export AgriCenter's innovative products, particularly micronutrients and biological into other regions. In addition to AgriCenter, we are now operating OHP, which is the largest domestic ADCHEM [ph] distributor within the greenhouse and nursery space. OHP provides a full service turnkey solution by which ADCHEM [ph] companies can effectively address and penetrate this market. Unlike many markets, greenhouses require complex management practices as growers may have up to eight crop cycles per year. OHP works with greenhouse growers to develop a program approach towards managing crop inputs. Nearly all of OHP's 55 products are sold under their own brands and include insecticides, fungicides, herbicides, and plant growth regulators. Within greenhouses, OHP products are commonly used on tropical plants, perennials, many varieties of flowers, herbs and increasingly vegetables. Nursery applications include trees, shrubs and woody plants. The addition of OHP has served to increase our domestic non-crop business by about 40%. And with the addition of 18 highly skilled employees, gives us the infrastructure necessary to grow the non-crop business to our targeted level of $100 million. In addition to these two distribution companies, we’ve acquired a number of product lines both domestically and in Mexico through divestments that were required in conjunction with industry mergers. In the U.S., we are selling Parazone, a herbicide used on multiple grow crops, particularly corn, soybeans, and cotton as a tool for managing glyphosate-resistant weeds. Equus, a fungicide primarily on peanuts and cotton, which are two crops in which we have much experience; and Abba, a biological insecticide used primarily on [indiscernible] crops such as almonds, but also on citrus and cotton. Knowing that there would be supply constraints for these three products, we plan for the 2018 season by taking measures to find multiple sources and thereby to ensure continuous and ample supply. In Mexico, we assigned the popular Bravo line of fungicide products which are used largely on vegetables, bananas, and other fruits as well as GESAPAX and KRISMAT which are herbicides used primarily in sugarcane production. The addition of these products is served to expand our portfolio and to obtain greater market access into the southern region of Mexico. As I mentioned at the start of my remarks, the strong sales performance from our newly acquired products was in addition to growth of our traditional business. During the quarter, our base business recorded a 6% improvement in net sales as compared to the first quarter of 2017. This is comparable to the industry average for the quarter. Looking back over the past three years, however, much of our industry has been in something of a down cycle. By contrast, we've been consistently growing our base business by mid single digits during that time. In short, you can see from our quarterly results that we continue to maintain an upward trajectory for our traditional business and that should not be overlooked. Growth of our base business was driven by multiple factors. We experienced strong demand for our soil fumigants, large [indiscernible] potatoes and this has been a stable market for us for many years. In addition, we increased sales of our Dibrom mosquito adulticide as vector control districts ordered product to replenish inventories that have been depleted during the 2017 hurricane season. Also sales of granular soil insecticides such as Aztec for corn, Counter for corn and sugar beets and Thimet for peanuts and sugarcane. We also enjoyed improved sales of our IMPACT herbicide during the period. I’m pleased that our corn product brands continue to retain their value in one of the most competitive markets in the united states. Further, Mocap and Nemacur, which are broad-spectrum insecticides posted gains in our international markets. Not all products and segments were up during the quarter. For example, [indiscernible] sales declined with weather-related planting delays and the base international business declined due in part to distribution changes for Aztec in Korea and competing technology to Nemacur for both -- in both Southern Europe and Mexico. However, these decreases were more than offset by the gains and by virtue of our diversification we are able to continue our trend of positive growth. Before turning to David for his analysis on our financial performance, I want to mention a few structural changes within the organization. As of May 1 Peter Eilers, who had served as our VP of Business Development and Marketing was promoted to the position of Managing Director of AMVAC Netherlands BV as Ad De Jong, who has run our international business for the past five years, transitions into retirement at the end of 2018. In light of Peter's promotion, John Puente [ph] who has served in positions of increasing responsibility at DuPont for over 30 years have assumed the role of VP of Business Development and Marketing. In addition, Scott Hendrix who has been VP of US Crop for the past three years has been promoted to Senior VP of US Crop and Application Technology. In his new role, he will be assuming additional responsibilities overseeing not only Canadian sales but also SIMPAS commercialization. With that, I will turn to David for his comments. David?
David Johnson: Thank you, Eric. Good afternoon everybody. As Bill mentioned, we follow our Form 10-Q for the three months ended March 31, 2018 just a few moments ago. Everything I'm covering here is included in more detail in that document. With regard to the financial results, so as Eric just detailed, the company sales for the first quarter of 2018 increased by 47% to $104 million as compared to sales of $71 million this time last year. Included in this improvement, our newly acquired businesses generated a 41% increase while our pre-existing product portfolio also had a strong performance and grew by 6%. Our international sales continue to grow in importance and represented 33% of net sales in the first quarter as compared to 26% this time last year. Our tax rate ended the quarter with 26%, which compared with 28.5% for the same period of the prior year, and overall net income for the quarter increased by 53% to $4.7 million or $0.16 per share as compared to $3.5 million or $0.12 per share this time last year. Our first quarter gross margin ended at 39%, which was in line with the guidance we provided last call. This percentage rate includes strong sales of newly acquired products that have comparatively lower average gross margins. During quarter, our operating expenses ended at 32% of net sales compared to 35% this time last year. Notwithstanding this favorable comparison, operating expenses increased by 35% on an absolute basis due to several factors. These include the addition of newly acquired products and businesses, the build out of our international structure, higher short and long-term incentive compensation costs as a result of our improved financial performance and continued expansion of our product portfolio. Finally, we have some changes in volume and mix of domestic sales that resulted in higher freight costs when compared to the same period of the prior year. Interest expense was elevated in comparison to the same period of the prior -- of last year, driven mainly by the effect of closing acquisitions in late 2017, which raised the average borrowing level. Further, the company increased its working capital levels as we progress through the 2017, '18 growing seasons. Overall, interest costs amounted to $837,000 as compared to $298,000 this time last year. In an effort to further support investors understanding of the business and its financial performance, in the earnings release we’ve reported EBITDA for the period and included a reconciliation statement between net income and EBITDA. Our EBITDA improved by 27% in the quarter to $13.3 million, whereas net income improved by 35% as I’ve just described. There are two facts that account for the 8 percentage point difference. First, the change in tax rate related to the Tax Cuts and Jobs Act is responsible for 5% of the 8% difference in the quarter-on-quarter growth rate. Second, the company's depreciation expense was broadly flat and closed the balance of the GAAP. You may also notice that the financial statements of March 31, 2018 include an adjustment to retained earnings in the amount of $2 million. This beneficial adjustment predominantly relates to the change in revenue recognition rules that occurred on January 1, 2018 and the [indiscernible] USA. This does not affect our net income reported for the quarter. From my perspective, the key financial issues for the first quarter is as follows: first, we continue to follow a disciplined approach to planning our factory activity, balancing overhead recovery with demand forecast and inventory levels. In the three months ended March 31, 2018, our under absorption factory costs improved by $1.1 million marking a very strong start to 2018, during which we anticipate improving upon our 2017 manufacturing results. Second, as I mentioned earlier, gross margin for the quarter was 39% as compared to 43% last year. The change was predicted in our remarks in the last conference call and is primarily driven by the inclusion of new businesses, particularly the distribution businesses. Some of the downward pressure on margins was offset by the strong factory performance. Third, during the quarter consistent with our manufacturing plan for 2018, our inventory increased by approximately $20 million. The increase arises from two factors. First, approximately 50% of the increase is associated with building working capital for our newly acquired businesses as they prepare for their respective selling seasons. And second, the balance of the increase is caused by strong demand for our core products that is driving raw material procurement and factory manufacturing output. Our inventory planning process has been rolled out for the new businesses and initial planning reviews have taken place. We are now forecasting inventory levels between $120 million and $130 million at the end of 2018. This forecast is slightly higher than we indicated at the time of the Q4 conference call, and will be subject to review as we work through the year. This target will also be adjusted to reflect any new acquisitions that’s occurred during 2018. Fourth, our effective tax rate ended the quarter with 26% as compared to 28.5% last year. The improvement in the rate for 2018 arrives -- arises from the change in the U.S tax code following the implementation of the Tax Cuts and Jobs Act, which we discussed in detail in the last quarter conference call. Our 2018 rate is based on our forecast for the present year and depends on our assessment of where we expect to make profits this year. Fifth. With regard to liquidity at the end of the third quarter, availability under our credit lines stood at a $125 million as compared to $120 million this time last year. Indebtedness as of March 31, 2018 was $90 million as compared to $30 million this time last year. The difference is substantially driven by the $82 million borrowed to finance the acquisitions that we completed during the last seven months of 2017. In summary, when looking at the start of 2018, we can say that we’ve started strongly, having achieved a significant increase in net sales, recorded gross margins that are in line with our projections, improved factory output and gain some leverage efficiency in our operating costs. We’ve delivered on the tax rate we predicted when we last spoke to you. This all came together in a 35% improvement in net income and in the context of a continually strong balance sheet. With that, I will hand back to Eric.
Eric Wintemute: Thank you, David. At this point, I'd like to turn our prospects to our products for the balance of the year at least in terms of market outlook and general direction. Regarding the second quarter, with planted cotton acres forecasted to be up about 8% this year, we expect to see strong sales of our two cotton products BIDRIN and Folex. We also see strong demand for our recently acquired herbicide Parazone for burn down applications prior to late spring planting. Likewise we're seeing strong demand in the peanut market for our newly acquired fungicide Equus, as well as our traditional soil insecticide Thimet. We're also projecting strong performance in our Mexican operations and Central America driven by AgriCenter supplying the in-season demand for growers of tropical crops, like pineapples, citrus, and bananas. In the second half of 2018, we expect to see demand building for our industry-leading soil fumigant products which are applied after harvest. Solid sales of our products in cotton and peanuts will continue along with channel replacement for our mosquito control adulticide. You may have read that the Center for Disease Control recently -- recent report that the incident of insect borne diseases has increased over threefold since 2004, and that the trend will continue moving upward into this year. As we have often pointed out, our Dibrom is the market-leading Ariel applied solution for mitigating this threat. As we’ve observed in the [indiscernible] on an intense mosquito infestation in the wake of hurricane Harvey in Houston last year. We will also see strong late summer demand in LATAM for many of AMVAC's traditional products and those of our AgriCenter distribution franchise. Continuing later into the year, we expect to see strong post harvest soil fumigant business and preplanned season procurement of our corn soil insecticides and post-emergent herbicide impact. We also forecast steady demand for [indiscernible] and fruits and vegetables and Mocap and broad-spectrum insecticide used in a number of countries. All-in-all, the market outlook is positive. As far as annual metrics are concerned, I’m confident to substantially reiterate that we have outlined in our year-end earnings call. We still expect annual net sales in the range of $450 million to $480 million. Gross margin should be in the high 30s. Operating expenses should be in the neighborhood of $150 million to $160 million as we continue to invest in our international business, defend our product portfolio and bring SIMPAS closer to commercialization. We do expect higher than normal legal expenses in the second quarter as we continue to make our case against USEPA for an illegal taking of our PCNB business arising from the stock sale order of 2010. We should generate about $50 million in cash from operating activities this year. And with the new tax law, we expect our effective tax rate will remain in the mid 20s. Before closing, I would like to give you an update on our SIMPAS precision application system. Prototype testing completed in 2017 have served to validate the operation of the system, including performance of the wireless control system, accuracy of the meters, and overall durability. The next phase of this commercialization process involves wider scale on-field demonstrations involving 6,000 acres on 10 farms in four states, with three of our products, Counter, Aztec HC, and Smartchoice HC. Specifically, we're collaborating with Simplot Grower Solutions to conduct large-scale prescriptive applications in both Colorado and Idaho. These field trials involve the at plant application of Counter onto nematode management zones of corn fields. In these demonstrations we're combining SIMPAS variable rate application technology with Simplot's SmartFarm prescriptions to enable growers to target crop protection and nutritional products in a precise manner. The Colorado trials are being conducted on about 1,100 acres of field corn at six different farms, while a 1,300 acre trial in Idaho is being conducted on a single farm with 400 acres being prescriptively applied and 900 acres being planted at a constant rate. In addition, three farms in Illinois and one in Iowa are using our equipment for prescriptive applications, non-prescriptive applications on approximately 4,000 acres of corn providing further validation of the operational performance of the SIMPAS technology. Thus far, the SIMPAS system has performed perfectly, and we have heard encouraging comments from Academia, Simplot and growers. In fact one grower has quoted as saying "farmers don't have a 401(k) plan. The land is their 401(k) plan." He went on to add that by applying the products that he needs only where he needs. SIMPAS helps to preserve his valuable asset into his retirement. Simplot Grower Solutions will be captioned a large amount of data from these trials, which in turn will be used by an objective third-party [indiscernible] to measure the performance of the SIMPAS system after yield information is determined post-harvest. During the planting season of 2019, we're targeting a hundred growers using the SIMPAS system, equipped with both granular and liquid meters, dispensing multiple products. In 2020, we expect to be in a position to fully commercialize this proprietary technology. In closing, we're showing that we can build this business both organically and through acquisitions and at the same time manage costs and working capital, while improving plant efficiency. The consistent growth of our base business over the past three years compares favorably to industry trends. The fact that we've been able to improve upon that trajectory with the addition of rationally priced acquisitions makes the story even better. This has been a case study on how to execute our business plan and invest in the future, while remaining poised to expand in a changing market. Now with that, we would be happy to answer any questions which you may have. Doug?
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from line of Joseph Reagor with ROTH Capital Partners. Please proceed with your question.
Joseph Reagor: Good afternoon, guys. Thanks for taking the questions.
Eric Wintemute: Pleasure.
Joseph Reagor: So on your international sales, they are slowly becoming bigger piece of the business. But you mentioned some minor issues during the quarter and -- but despite that this quarter last year you were at about 26% international, this quarter you’re around 33%. Can you give us some additional color as to what drove the incremental international sales, despite the minor issues with a couple of spots there?
Eric Wintemute: Yes, I think AgriCenter is the biggest piece of that. Again, we did have increased sales in some of our international products. We mentioned Aztec in Korea that was just really a timing shift from one distributor to another and there was inventory in channel. So -- and Mexico has picked up some as well.
Joseph Reagor: Okay, thank you. I will turn it over.
Operator: [Operator Instructions] Our next question comes from line from Jim Sheehan with SunTrust Robinson Humphrey. Please proceed with your question.
James Sheehan: Thank you. Could you discuss what you see as the revenue opportunity in SIMPAS for 2020? And also explain how that will American Vanguard to get paid for use of the equipment?
Eric Wintemute: So the first question gets asked a lot. It was the first question in the last conference call. We will probably be looking at providing some guidance on 2020, maybe this time next year or third quarter. There's a number of variables that we need to figure out before we can start nailing down numbers. The products that are going to be available for the 2020 season, obviously, going through -- what we're going through now and seeing if we’ve got anything that’s such as back time wise. I think when we get into next year assuming we wind up across the -- across-the-board, growers that we have I think that will give us the level of confidence we could start projecting. As far as where we would make money on the equipment, so to speak, I think the equipment sales in Smartbox has not been a profit center for us. I think we would look initially -- it gets tremble to doing during marketing of the equipment. And I think they would capture the majority of the value on the equipment itself. Our partners like Simplot who will be writing the prescriptions and working closely with the farmer, I think we’ve pick up not only sales of product going to the farmer, but also looking at how they can help manage return on investment for the farm itself. The predominance of our income will come from the supply of the chemical going into the system through our -- kind of smart cartridges that will be sold to the farmer and returned back to be refilled.
James Sheehan: Thank you.
Operator: Our next question comes from line of Joseph Reagor with ROTH Capital Partners. Please proceed with your question.
Joseph Reagor: Hey, guys. I have to jump back in for a few other, it seems like a short queue. Is there any impact for you guys on the soybean front from -- sanctions or [indiscernible] by China on that? Have you seen a decrease in demand for any of your products?
Eric Wintemute: Well, soybean has not been a big crop for us. One, we do have scepter obviously with SIMPAS as we started laying those out will have quite a portfolio there. But I don’t think that that we're anticipating any effect of any substance. Bob, I don't know if you have any thoughts?
Bob Trogele: Yes, Joe, prices are strong. In fact, in parts of the U.S., Illinois and Iowa, specifically, growers this year are planting soybeans ahead of corn. The universities are showing them yield pumps by doing that. Like the surprises are strong. In regards to the negotiations with China, I mean, Brazil is ramping up, but they can't ramp up the infrastructure in the short-term that will have any major effect on the U.S growers in the medium term. And then, we don't export our entire soybean crop. Its only in certain percentage. We are going to [indiscernible] soybeans as Eric have stated with SIMPAS, and one of the reasons we are bullish on that is because we will ramp up in Brazil in our Phase 2 of SIMPAS introduction. So I think we're well-positioned.
Joseph Reagor: Okay. And then on the balance sheet, if I could. Your debt increased a little bit. Is that just the standard situation of -- as your inventory builds at the beginning of the year [indiscernible] draw on your debt a little bit funded and then that will reverse as the year goes on?
David Johnson: Yes, that’s the plan.
Eric Wintemute: Yes. That’s traditional what happened.
Joseph Reagor: Okay. Thank you, guys. I will turn it over.
Operator: [Operator Instructions] Our next question comes from the line of Chris Kapsch with Loop Capital Markets. Please proceed with your question.
Chris Kapsch: Yes, good afternoon. I had a question about the base business, I think it was up 6%, if you exclude obviously the benefit of the acquisitions going through. Could -- you talked about some of the products granularly, but can you just talk about just more generally, you -- that 6% is arguably better than the overall market. You have a sense for is it just the trends in acreage or crop reference that growers are planting [indiscernible] that's allowing you to do that or is there any shifts in market share that are benefiting you? Anything like that going on?
Eric Wintemute: I think one of the things that we continue to benefit from is our position that we took starting back in '14 as that we would not try to push product into the channel. We had a far amount of channel inventory out there, and we’ve continued to manage that to levels that are -- the levels of distribution feels comfortable with. So replacement in a normal business and that’s why we’re saying that our corn products I think we were up 13% in the quarter year-over-year. So I think that's probably the bigger issue is anything that’s just management of inventory. And I think the farmers -- I mean, I think people have gotten a sense that the market has bottomed and is starting to show signs to improve. I think farmers are going to start looking at, okay, I’ve got -- as I start to see a little bit better return, maybe I can start going back to some of my more normal type input approach. Bob, I don’t know if you want to add to that?
Bob Trogele: Well, I think the only thing is we’re staying to launch some new products [indiscernible].
Eric Wintemute: Yes, but this is -- you’re talking about just our 6% on our traditional business not our -- not our new products.
Bob Trogele: Yes, [indiscernible] acquisitions I’m talking about …
Eric Wintemute: I know.
Bob Trogele: … [indiscernible] product launches.
Eric Wintemute: Oh, okay. So you’re -- yes, okay. Got it.
Bob Trogele: So we’ve about what $8 million in U.S prior to launching of new products. So some of that is starting to take traction. We launched in last year also. Chris, so I think that with -- improving customer relationships that’s all benefiting us.
Chris Kapsch: Okay. And then just you mentioned the 13% corn and I think you -- in your formal comments you mentioned that the impact corn herbicide was sales were strong there. So last year that was -- that market was characterized by sort of pronounced pricing pressure from one of the players there. Has that subsided or what’s driving the strong performance and impact this year?
Eric Wintemute: While we made the price adjustment in the third quarter of last year as you recall. And impact has a great name from a safety standpoint and its broad-spectrum of grasses and [indiscernible]. So I think there's a strong royal base there. But, again, we needed to get our price more in line and I think we are feeling fairly comfortable about where we are today.
Chris Kapsch: Okay. And if I just could on the financial metrics, so you guys made it I think abundantly clear that the mix associated with some of the lower margin products you’ve acquired distribution business, in particular, would have -- would affect the overall gross margin. But so, do you have a snapshot of what your core -- your legacy business would have been without the inclusion of the acquisition? So I think you’ve said 39%, but in spite of a better factory performance. So just wondering if -- how that would have looked [indiscernible] the acquisitions?
David Johnson: I think it calculated that to be broadly in line with last year.
Eric Wintemute: Which is 43%.
David Johnson: Yes.
Eric Wintemute: Yes.
Chris Kapsch: 43%, okay. Got it. And then just on. Eric, on the -- when I saw you recently you had mentioned that the industry is facing some of this difficulty sourcing, some raw materials out of China. Just wondering, I mean, it seem like that was something that might be an advantage for you guys given your production in the U.S. Just wondering how any new developments in that -- so that dynamic and how it's affecting things in the marketplace, if it is?
Eric Wintemute: So I don’t know that we’ve seen yet a pickup of our domestically manufactured products that might compete with some china products. I think a number of people having concern I think started trying to buy in Q3, Q4 of last year. And I think [indiscernible] thinking that, that will flush out here by -- I don’t know, the middle of third quarter probably anything and so we will start probably if there's going to be that effect, we will probably start seeing that as products, depending on the product line as it starts to get tied and prices move up that we would maybe see some benefit from that.
Chris Kapsch: There's something that might have influenced maybe the next year's growing season or the pre-sell going into next year's current revenue season.
Eric Wintemute: Correct.
Chris Kapsch: Okay. Thank you.
Operator: And our next question comes from the line of Jim Sheehan from SunTrust Robinson Humphrey. Please proceed with your question.
James Sheehan: Thanks. Regarding the corn insecticides and herbicides, it looks like you weren't affected very much by planting delays, which may have shifted the planting season. Do you think that some demand for your products was pushed out into the second quarter, so that you may have an even better growth rate in the second quarter were the planting delays just not impact your business at all?
Eric Wintemute: Our U.S crop team has done a great job, particularly corn being our biggest nemesis in the 2013-2014. Putting together procurement plans with our distribution, and I think distribution is appreciated that. We're not pushing for a great season, but making sure they have material and so that they can orderly make deliveries. With that said, we definitely have seen a slowness in what we call our EDI of product going as the planting season has been delayed. But we have seen the effects of that in our actual sales. And we will see how this quarter unfolds, we continue to sell products into that space on a daily basis.
Bob Trogele: And, Jim, just looking at the recent releases, checking the market, the corn growth which have caught up. And in fact in some states they’re ahead of last year. So it's a little bit mix, but we're doing more and more supply chain planning as Eric says with our customers and just natural flow. That we will see how the weed pressure is in the latter half of the quarter and that will determine whether we have a good or very good year with impact.
James Sheehan: Terrific. And could you also discuss how the M&A pipeline is shaping up. What are you planning to do, what are you looking at? Should we expect announcements in the next few quarters or have you moved away from that focus.
Eric Wintemute: No, we’re actively engaged and a wide variety of acquisitions now we do expect to close on at least two before the end of the year. There are -- I think we charted recently and had more balls in the air with acquisitions and we’ve ever had at a single time, but I would say a couple of blockbuster deals that we participated and that we did not wind up with those deals that are -- that you saw in the 100s of millions or that went -- we don’t have any of that structure underway at this moment.
James Sheehan: Just to be clear, you’re talking about product acquisitions, correct?
Eric Wintemute: Product and company.
James Sheehan: Great. Thank you very much.
Operator: [Operator Instructions] There are no further questions in the queue. I would like to hand the call back to management for closing comments.
Eric Wintemute: Okay. Well, certainly on behalf of people at American Vanguard, we very much appreciate you taking the time to listen in and asked some very pointed questions. And we look forward to reporting to you in our Q2 report in end of July or early August maybe. Thank you very much. Bye, bye.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.